Operator: Good morning, and thank you for standing by. Welcome to the Riskified First Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Chett Mandel, Head of investor Relations. Please go ahead.
Chett Mandel: Good morning and thank you for joining us today. My name is Chett Mandel, Riskified’s Head of Investor Relations. We are hosting today’s call to discuss Riskified’s financial results for the first quarter 2023. Participating on today’s call are Eido Gal, Riskified’s Co-Founder and Chief Executive Officer; and Aglika Dotcheva, Riskified’s Chief Financial Officer. We released our results for the first quarter of 2023 earlier today. Our earnings materials, including a replay of today’s webcast are available on our Investor Relations website at ir.riskified.com. Certain statements made on the call today will be forward-looking statements related to our operating performance, financial goals and business outlook, which reflect management’s best judgment based on currently available information and are not guarantees of future performance. We intend all forward-looking statements to be covered by the Safe Harbor provisions contained in the Private Securities Litigation Reform Act of 1995, and are including these statements for purposes of invoking these Safe Harbor provisions. Please note that these forward-looking statements reflect our opinions as of the date of this call and except as required by applicable law, we undertake no obligation to revise this information, as a result of new developments that may occur after the time of this call. These forward-looking statements involve risks, uncertainties and other factors, some of which are beyond our control that could cause actual results to differ materially from our expectations. You should not put undue reliance on any forward-looking statement. Please refer to our Annual Report on Form 20-S for the year ended December 31, 2022 and other SEC filings for more information on the specific factors that could cause actual results to differ materially from our expectations. Additionally, non-GAAP financial measures and key performance indicators will be discussed on the call. Reconciliations to the most directly comparable GAAP financial measures are available in our earnings release issued and furnished with the SEC on Form 6-K today and in the appendix of our Investor Relations Presentation, all of which are posted on our Investor Relations website. I will now turn the call over to Eido.
Eido Gal: Thanks, Chett, and hello, everyone. We achieved revenue growth of 17%, non-GAAP gross profit growth of 19% and adjusted EBITDA improvement of 62% year-over-year. These first quarter results demonstrate our ability to execute across all areas of the organization. We believe that our technology and the demonstratable value that we provide to merchants is resonating within our large addressable markets. This continues to drive very strong upsell activity in new merchant wins, especially during competitive processes, which was the primary driver of growth during the quarter. Also contributing to our year-over-year growth was great levels of tickets and travel activity, which grew nearly 100%.  As expected, our new business continues to grow well, above our actual revenue growth of 17% despite a generally softer e-ecommerce environment, which demonstrates that our market share gains have outpaced macro-related headwinds during the quarter.  And, but for a few challenged verticals which Agi will remark on shortly, our overall growth would have been even stronger. We believe that within our existing merchant base, we have further room to penetrate and capture more volume through focused upsell efforts, regardless of the initial segment that we start with once we are integrated and demonstrate strong performance, we feel confident in our ability to capture additional order volume over time.  We continue to execute on this land and expand strategy very well during the quarter, which was seen in our strong first quarter of activity. One of our largest obstacles during the quarter involved winning substantial volume away from a competitor as a result of our superior performance and accuracy during a head-to-head competition, we were able to take on more segments and geographies for a billion-dollar merchant in the tickets and travel vertical.  A separate large first quarter upsell was from a merchant that we only recently onboarded in the fourth quarter of 2022. This merchant which processes approximately $1 billion in online order volume annually, auickly saw the clear ROI and value that we were able to provide, as a result, we were able to expand our relationship and recognize meaningfully better economics for both Riskified and the merchant early on.  We also continue to focus intensely on landing new customers to drive future growth and diversification. To that end, eight of our top 10 new logos closed during the first quarter were outside of tickets and travel. Some of these key wins include a gaming merchant in APAC and fashion, home and general retail merchants based in the United States.  Our go-to-market team has also done a great job at moving some multi-product platform, which is powered by the same machine-learning tech stack. With our newer products platform, we now have multiple entry points into enterprise ecommerce companies, solving multiple high-value use cages outside of our core Chargeback Guarantee products, which we believe makes it relevant to more merchants and has led to more for continuous selling cycles and increased merchant coverage.  In addition to the top-line success achieved during the first quarter, our non-GAAP operating expenses have now essentially remained flat over the past three quarters, as a result of continued cost discipline. Also our G&A expenses were at the lowest level since the third quarter of 2021, which was our first full quarter of operating as a public company.  We continue to focus on optimizing cost and streamlining the business to improve efficiency. I am pleased that we were able to meaningfully exceed our bottom-line expectations during the first quarter. Based on our performance of the first quarter, and the guided trajectory for the year, we are working towards achieving profitability on an adjusted EBITDA basis during Q4 of this year. Over the past 10 years, we have been developing and investing in building a state-of-the-art machine-learning platform. We have dedicated sophisticated R&D resources with domain expertise, focused on continuously, improving our technological capabilities.  Just this quarter alone we deployed over a dozen models into production. These new models were deployed across our most important verticals and geographies. We also introduced nearly 20 new features to further enhance our ability to understand how fraudsters behave, which we believe ultimately drives optimized performance for our merchants.  And with a superior, and expertly tagged set of data, Riskified is one of the largest and most accurate decisioning companies for e-commerce merchants in the world. Taking this all together, we believe that we have a machine-learning factory, which has created a significant competitive mode for the business. This is part of the reason why I am optimistic about our long-term trajectory in our ability to deliver value to our shareholders.  Agi will provide more context on our first quarter performance and outlook, but before I turn it over, I wanted to take a moment to thank the team for their hard work and achieving a strong first quarter. And we also welcome our first ever CMO we announced last month. Jeff Otto brings two decades of enterprise technology experience.  Jeff has held various senior leadership roles, including most recently in Marqeta and Salesforce. In our view, Jeff has the ideal blend of knowledge and expertise to continue to capitalize eyes on Riskified’s reputation that in preeminent fraud and risk intelligence platform for the largest e-commerce merchant across industries and throughout the globe on behalf of the executive team and Board, we are thrilled to partner with Jeff.  Now to Agi. 
Agi Dotcheva: Thank you, Eido’s team and everyone for joining today's call. Our GMV for the first quarter was $27.3 billion reflecting a 20% increase year-over-year. We achieved strong first quarter revenue of $68.9 million, up 17% percent year-over-year, an acceleration from our fourth quarter growth of 14%. Our increase in GMV and revenue was primarily driven by new merchants and upsell and revenue growth across all geographies.  Tickets and travel was the most meaningful area of growth, having nearly doubled our billings year-over-year within this vertical. Going forward as we now have a fully lapped coverage-related comparable periods we expect a more normalized level of growth in these vertical, but still view this is an active area of growth for the year.  In addition, our food, electronics and money transfer categories each grew during the quarter, primarily driven by new merchants and upsell activity.  We saw year-over-year improvements in the rate of decline in our general retail and home categories during the first quarter, while these categories are still negatively impacting our growth, this is an encouraging trend that we’re monitoring closely. One of our largest categories, fashion and luxury goods was flat year-over-year in the first quarter as compared to growth that we saw in this category in 2022.  Within this category, we have seen slow down in some of our same-focus merchants, in particular within luxury brands and our sneaker sub-segment. Getting a broad-based and diversified portfolio of merchants helps position us as a durable business across all types of spending environments. And as consumer spending continues to shift away from goods towards spending on services and live events, we believe that we remain well positioned to benefit.  From a geographic standpoint, the U.S., our largest region, improved by high-single-digits and EMEA and APAC each grew approximately 40% during the quarter. Our continued revenue growth from regions outside of the United States, demonstrates the positive returns from our previous environment and market share gains.  Moving on to gross margins, our non-GAAP gross profit margin for the first quarter of 2023 was 53%, consistent with the fourth quarter of 2022 and an improvement from 52% in the first quarter of 2022. We continue to benefit from improvements in our core machine-learning models and other cost of goods savings offset by the impacts of ramping of significant new merchants.  As a reminder, gross profit margin is best analyzed on an annual basis as margin may fluctuate on a quarterly basis.  Moving to expenses, total non-GAAP operating expenses were $1.6 million for the first quarter of 2023 , a 6% decrease year-over-year. Our non-GAAP operating expenses as a percentage of revenue declined year-over-year from 75% to 60%, reflecting leverage in the business model. As a result of further optimization and expense reductions in the first quarter of 2023, I'm pleased that our expenses were meaningfully below our first quarter budget rate of $45 million.  This was primarily driven by further optimization of tools and systems, evaluation of non-essential marketing and administrative expense, and other seasonality of expenses. We expect to carry through most of these savings throughout the remainder of 2023. For modeling purposes, we anticipate our Q2 to Q4 quarterly expenses within the range of approximately $43 million per quarter.  Adjusted EBITDA for the first quarter was negative $5.2 billion, a 62% year-over-year improvement. We have meaningfully improved our adjusted EBITDA performance on a year-over-year basis for the third consecutive quarter since making the decision to accelerate our timeline to reach profitability.  In addition, we continue to maintain a healthy cash flow model and we were very excited to cross into free cash flow positivity this quarter. We will continue working towards strengthening our free cash flow position.  Moving to the balance sheet, we maintain a very strong liquidity position. We ended the first quarter with approximately $484 million of cash deposits and accrued interest on the balance sheet. And we carry zero debt. This amount represents a sequential increase in cash deposits and accrued interest of $2 million. For reference, this a meaningful improvement from a sequential decrease of $10 million from the same comparable period in the prior year.  Simply put, we are confidence in the business ability to generate positive cash flows over the long term. And we believe that our balance sheet and strong liquidity position is an underappreciated asset. In this environment, our strong and liquid balance is an advantage and provides us with the flexibility to deploy capital strategically should opportunity present itself.  In terms of our outlook, we're updating and improving our 2023 bottom-line guidance that we previously shared on our Q4 call. Assuming no further material changes to the macro environment, we continue to anticipate revenue of between $297 million, and $303 million for the full year of 2023 or $300 millions at the midpoint.  Moving to adjusted EBITDA, as a result of our disciplined approach to managing the business in the first quarter and expected OpEx reductions going forward, we now believe that our full year adjusted EBITDA will be between negative $12 million and negative $17 million, an improvement of 41% from our initial range. As always, we look to find additional leverage in our expenses.  We continue to approach our guidance responsibly. Due to the macroeconomic environment, we will continue to monitor the performance and health of our merchants, consumer spending and the broader ecommerce landscape and the impact on our results.  Overall, we're pleased with our results and our outlook for the year amidst a challenging landscape. We remain excited about the positioning of our business, the continued prospects for long-term growth, and our ability to deliver value to shareholders.  Operator, we’re ready to take the first question, please. 
Operator: [Operator Instructions]  The first question comes from Brent Bracelin with Piper Sandler. Your line is open. 
Brent Bracelin : Good morning. Thank you. Very encouraging to see this return of positive free cash flow this quarter. What's your confidence in getting to positive EBITDA, this past profit really seems like it's improving, what's driving that? Thanks. 
Eido Gal : Hey, Brent. Thanks for that. Look, we were nearly going to profitable and previous Q4 and obviously expecting profitability in Q4 and for the full year of ‘24 when we think about the overall amount as I look just through the P&L, very happy with the performance around OpEx and year-over-year decrease able to completely keep it flat on a sequential basis while driving revenue growth to really showing the leverage in the business.  And I think it will just continue to drive that in the future quarters.  When I think about margins, really been able to keep it consistent even though a lot of the growth has been coming from new regions, new verticals, new categories, which sometimes historically have been a more challenging from a marketing perspective.  So I think the team has been executing great, there as well. And then, on the new revenue side, really great levels of a new revenue growth and upsell activity and pipeline is coming along great. The one outstanding item that we have is kind of just some uncertainty turns around the macro and that [Indiscernible] 
Brent Bracelin : Makes sense. Helpful color there. And then, I guess just take a step back and I think about the entire Riskified operation here it's driven by data. You have this machine-learning factory, how do you envision applying generative AI to the model if at all? 
Eido Gal : That's a great question. Let me, let me just take a step back and maybe reorient our approach to ML. I mean, the thesis when we started Riskified 10 years ago, was that we can leverage machine-learning to create the most accurate, ecommerce, fraud prevention company, right?  And the type of machine-learning that we deployed is supervised machine-learning and we create, you know, we engineered custom features that are focused on e-commerce and we have a proprietary data set tagged internally by domain experts. Right?  And that's the type of platform that we built our data science, analytics, research teams are some of the largest teams at Riskified since we started and have continued to grow. And over the years and also today, as kind of ML has advanced, whether it’s new models, whether it’s new infrastructure plays, we find ways to integrate bad weather and help with do better AB testing, deploy models better and faster environment, use some NLP in some of our newer features. So we integrate that into our platform ultimately resulting in more accurate decisions driving better growth. 
Brent Bracelin : Great. Thank you so much. 
Operator: Please stand by for the next question. The next question comes from Will Nance with Goldman Sachs. Your line is open. 
Will Nance: Hey guys. Good morning. I wanted to ask about just kind of a spread between adjusted EBITDA and free cash flow this quarter, obviously, free cash being positive adjusted EBITDA still negative, how can you – could you guys help us bridge the gap between those two and maybe the sustainability of that gap as we look to get some adjusted EBITDA profitability at the end of the year?
Agi Dotcheva : Hey, Will. Sorry. Thank for the question. So, we are benefiting from the large cash that we have on our balance sheet and very good liquidity for us and thinking through some of the interest rates out there kind of pretty attributes, some of the difference between adjusted EBITDA and the free cash flow primarily through the interest deposits that we're getting. 
Will Nance: Got it. Makes sense and then when you think about the OpEx holding flat for the last several quarters, obviously, lot of built-in operating leverage in this business that you think continue to grow the top-line and hold the expenses flat. I mean, how long do you kind of foresee OpEx remaining at this level before we start to see some kind of upward pressure? 
Eido Gal : I think right now, we're planning to keep it flat for the foreseeable future. 
Agi Dotcheva : Yeah, as you can see from some of our guidance we created our guidance on an OpEx specifically from 45 to 43. So, this is like a very good level that will allow us to execute our work plans and utlimately pretty much flat. 
Will Nance: Got it. Thanks for taking the questions this morning. 
Operator: Please stand by for the next question. The next question comes from Robert Napoli with William Blair. Your line is open. 
Rob Napoli: Thank you, and good morning. Good results. Solid guidance. Appreciate the operating efficiency continuing to improve, as well. As far as the nice acceleration in revenue growth, I mean, obviously, when you came public you're targeting much higher revenue growth.  It’s been a tricky time with COVID, but what is, if you look at your pipeline and look at your business, to get that growth rate, back up to 20% plus, what is your confidence and being able to drive much higher revenue growth? And I know It's tricky, because you're balancing profitability, as well as, as well as growth. But just any color on getting that growth rate up, given the size of the TAM and the small portion of TAM you have by getting that growth, back up to that 20% plus level or higher? 
Eido Gal : Rob, thanks for that question. Look, even this quarter has been the growth from new and upsell was well above that 20% range that you mentioned. But what's happening is that, we do have several large merchants from categories that, while those categories are improving, they're still declining on a year-over-year basis, right?  You can think about the home category, it's still digesting some of the COVID, kind of growth. And because of that, it still has some year-over-year declines. Now, obviously, this isn’t anything fundamental to that category, everyone expect it to continue to grow in the future, but that’s impacting the results, the organic growth in driving some of the overall numbers slightly lower.  To your point, we still feel we have a max TAM ahead of though, together it’s not reasoning, we feel confident in the long-term ability of the business. 
Rob Napoli: Okay. I guess, just looking at your balance sheet and talking about the flexibility that you have, I mean, there are a lot of small interesting companies around the space and it's globally and in the U.S. valuations of private companies are coming down gradually.  Do you see opportunities to – I mean or has the opportunities to expand your TAM or accelerate growth through acquisitions? Where - what would you – or is that something we should expect to see tuck-in here or there that could - you could use across your platform. Now is that something you're getting more aggressive in? 
Eido Gal : So, when we think about our merchant base of some of the best e-commerce brands in the world, right? And 99% of them choose to stay with us every single year. We think that’s the strategic asset and we're always thinking of ways to increase the value that we're providing. Some of that is internally built solutions like the policy product we discussed the previous quarter.  And some of that can definitely come through M&A of interesting technologies, right? And so it's definitely something that we're looking at. We have a high bar to do anything. But we're going to continue to try and find something. 
Rob Napoli: I think it’s done lastly I will sneak in one quick one. Vertical mix, can you give us any color on, I mean, the fashion luxuries, I mean we had data going back, but just any color you can give broadly on the vertical mix today at Riskified? 
Agi Dotcheva : Yes, sure. So, vertical, high-level, fashion was flat this quarter driven by decrease in high passion on sneakers. We saw some growth in electronics and foods and tickets and travel kind of like the highest growth in the industry both by organically just kind of lasting after COVID. But also by adding a lot of new merchants in current and existing. 
Rob Napoli: But, Agi, in fashion and luxury is what 35% of the business? So just as a percentage mix would be helpful to investors. 
Agi Dotcheva : I would say, about 30% altogether our industry. And now - we saw this industry growing last year. So on the backdrop of that we did see some pockets of volatility and as I said specifically our high fashion and sneakers with industry reports, as well. So it's a reflection of the general industry trend. 
Rob Napoli: Thank you. 
Operator: Please stand by for the next question. The next question comes from Tim Chiodo with Credit Suisse. Your line is open. 
Tim Chiodo : Great, thank you. Good morning and appreciate taking the question. It looks a great slide in your investor presentation that segment the ecommerce market in terms of the size of the merchants, but lot of the discussion is around the verticals retailers and merchants. Maybe you could shift a little bit just to talk about how it might be different selling into platforms.  So aggregators of small businesses selling online, not necessarily these names but the types of companies like the Shopify's, The Winks, the Squarespace, the godaddy's of the world. Is that an area where Riskified is having success? And how would you or do you work with those types of platforms? 
Eido Gal : I’ll take that. So, thanks for the questions. So maybe just to start, I'll reiterate our standard go to market motion, right? Because we focus on enterprise end while we define that as merchants selling over $100 million annually in June, be the bigger focus of their merchants selling a billion more, what we do is we work with them to run a pilot of feed based on that data we’re able to prove that the value of Riskified is higher than an internal theme or kind of any competing solution.  And based on that they decide to flip Riskfied on a segment. Then over time, we tend to upsell, right? That's why we have that strong land and expand motion. When you think about working through some of these aggregators, whether it’s Shopify or some other kind of naming more payment processor-oriented, right, that's a different motion, because you don't have that direct relationship with the merchant and in the case of SMBs, they sometimes don't have the ability to test and pilot and understand the nuances of the solution, right?  So, but when you want to take care of it, make sure that the integration is taken care of and it is a slightly different motion. It's something that we're thinking about. It's not an important focus for the year. I think it's important to mention though that when we think about the GMV over 70%, the e-commerce GMV resides, what we consider the enterprise space that’s $100 million and above. 
Tim Chiodo : Excellent. Thank you for taking that. Yeah. From the slide, it's a very helpful. Appreciate that. 
Operator: Please stand by for the next question. The next question comes from Terry Tillman with Truist Securities. Your line is open.
Terry Tillman: Hi, good morning to Eido, Agi and Chett. Solid job, particularly on the profitability. My first question, Eido, just relates to, I think in the press release, the second bullet was talking about an attractive upsell, or that you've got with an existing tickets and travel customer that had another vendor in there.  What I am curious about is, how often do you actually see situations, whether it's this ticket and travel or some of the other industries where they actually have a couple of vendors that they're using in tandem? And in this kind of environment, is there the potential for some sort of inner consolidation or after they've been trying out a couple of vendors on efficacy, they're going to start making more of a kind of a single source decision.  And the last part of that rambling, question is, in this instance, what was the driver for them to go with you all versus the other vendor? 
Eido Gal : Hey Terry, thanks for that. So, I'll also kind of reiterating my previous answer, right. When we start working with an organization, they tend to have an existing team and multiple different vendors working with them already, right? So in that sense, on day one or part of an existing staff, okay?  But what were able to do because of our superior accuracy is that over time, we show them we’re able to drive higher ROI for them and then they want to consolidate and simplify the structure to one vendor or predominantly up, right so the process might be hey, there might be a few vendors. We start. We prove the value. They consolidate just us, and that's exactly the use of case that we mentioned during the conference. 
Terry Tillman: Yes, got it. Maybe a follow-up for Agi, it’s just related to, I think you talked about your prepared remarks, general, retail and home goods, at least kind of directionally, the decline was less in the quarter versus the prior year or the park I forgot to look the context.  But you can you give us any more color in terms of what right now, we're seeing the declines and at some point could it actually get a tipping point where potentially there could even be some growth, because of some of the newer logos you’ve added. I’m just curious about that. Thank you. 
Agi Dotcheva : Sure, Terry. But when I think when I commented some declines, what we see is that new and also - offsetting some of the declines in this category. So all in now, we are seeing the category declining less than a year ago, which is a positive trend. I think it's driven both by addition of new MSO as I said, but it’s also is just on same cohorts lapping some of the COVID inflation and seeing better trends.  Going forward, I do hope that at some point, these are strong businesses and I believe in a COVID at some point that will reverse like normalization. But for now, I'm still factoring kind of like a decrease, but improving decrease over time. 
Terry Tillman: Okay. Thank you. 
Operator: Please stand by for the next question. The next question comes from Reggie Smith with JPMorgan. Your line is open. 
Reggie Smith : Hey, good morning. Thanks for taking the question. Actually on your last call you guys referenced reduce visibility in some of your onboarding for the back half of the year with, approaching June. I was curious to get your updated thoughts on that and how you feeling about your onboarding pipeline for the back half? 
Eido Gal : I would say that we’re feeling better. Our pipeline has continued to increase. We’ve closed a great number of deals. So we do feel better about that. 
Reggie Smith : Oh, okay. So maybe I misheard you. You last time it sounded as though, maybe I'm wrong. Correct me that you had signed some deals already and you weren't sure about how quickly they would on board in the back half. Did I am – was I am not reading that or interpreting that correctly? But I guess, what I am referring to that so much what you just outlined, but it sounds like it was a pipeline that you weren’t sure how quickly they would ramp up. 
Eido Gal : Correct. And I do feel better about the visibility as we get closer to the back half of this year and the continued movements overall in our kind of new and upsell business. 
Agi Dotcheva : Just to add to that, I hope I am able to clarify, just to add to that, even just for Q1, some of the organic declines that we kind of saw like fashion was a little bit of a surprise. I did expect some slight increase there. So, all in all, new and upselling tables for that and it’s kind of the rectification and something between the different drivers is helping us to maintain our guidance. 
Reggie Smith : Got it, okay. And then, if I could follow-up on the upsell that you announced in the press release in early this morning. I am curious, so what were you doing for them previously? Was it that you were doing guarantee on a small portion of their volume? And now you've grown that? Is there a additional upside potential available? And then maybe if you could talk a little bit about the timeline of how long it took you to go from what you were doing initially to finally upselling to this announcement today? 
Eido Gal : Sure, so we mentioned to during the earnings call. And what happened is, we started on a smaller segment, smaller amount of volume I think it was a few specific geographies, okay? And then, the upsell was once we prove the value, the accuracy that we can outperform there, their current solution by a pretty significant amount we were able to capture more volume. And essentially, we're doing all of that kind of billion plus volume for that virtue today.  Thinking about our wider base we're excited because we have hundreds of billions in GMV to upsell just for merchants already integrated into Riskified. 
Reggie Smith : Yeah, and so, I guess, thinking about that proof period, like, how long did that take your timeline, whether it's 6 months, 12 months, just trying to get a sense of how quickly these relationships can expand? 
Eido Gal : In this example, this is a merchant that went live in Q4, upsold in Q1. So it was a very fast timeframe. Obviously, but not always thought that, we're working diligently to shorten it.
Reggie Smith : Got it. And then, last on that I assumed they were using some type of scoring system before or were they or was it the competing product or guarantee? Thank you. 
Eido Gal : Correct. They were using a vendor that offers predominantly scoring, but also sometimes a guarantee to it. 
Operator: Please stand by for the next question. The next question comes from Josh Beck with KeyBanc. Your line is open. 
Josh Beck: Thank you for taking the question. Kind of a two-parter. It sounds like, was the revenue guidance obviously unchanged, but within it maybe there's a little bit of a lower component of NRR. And then, perhaps a larger component of the kind of new, new bookings, new customers, I’d like to kind of just clarify that?  And then, also just, any commentary can give on the monthly cadence I think generally the consumer patterns were a little bit softer in April, but that's a very broad-based kind of payments, card-oriented metrics. I don't know within ecom if there was anything that really stood out as a kind of compared like, the early months of the year to kind of what you're seeing more and more recently?
Agi Dotcheva : Yeah, sure. So, as I said, we did see some pockets of softness, specifically about fashion and I was expecting there slight increase that was offset by, NFL overall and dropping for the electronics. Fashion is our largest category. So just thinking, like I had how to plan there's a lot of ins and outs.  Also, it's a quite a volatile market environment. Now, maybe to just think about a trend - I think kind of persist on us, but all in all, it’s positives and negatives are just allowing us to maintain our guide. And when I think about the recent month, April, May again, more visible volatility here and there and nothing to really make up a trend so far, or to say more what we have seen in Q1. 
Josh Beck: Okay. That very helpful and then, just given some of your commentary around, it sounds like travel and ticket, certainly likely to enter more of a normal period here as we ramp up the final few quarters of the year, but just anything we should be mindful of with respect to the seasonality of the year, given some of the vertical ebbs and flows. Just any color just helpful points as we build out the quarterly cadence of our models here? 
Agi Dotcheva : I would have nothing really to call out what you expected degree to be the largest kind of tickets and travel sales even for us. Q4 is going to be predominantly driven by how retail, more traditional retail outperforms. Yeah, so nothing to call. 
Josh Beck: Okay. Thank you, Agi. 
Operator: Please stand by for our next question. The next question comes from Robert Napoli with William Blair. Your line is open. 
Rob Napoli : Yeah, thank you for the follow-up. Just on the international, Agi, you had called out some pretty stellar growth rates or you know in international. Just maybe a little more color on the strategy what percentage - the opportunity in internationally is obviously very large, but just your efforts internationally what the percentage of your business today that is international and what you think that could be over time? 
Eido Gal : Hey, Bob sure. So we're really happy with the investments that we made last year to build that enterprise sales capabilities to go after those markets. And I think, Agi mentioned on her remarks, we saw kind of 40% growth in some of those international markets. APAC, EMEA I am very happy with the strength of fact. We think they are still on smaller base and we think there's a lot of opportunity ahead. 
Agi Dotcheva : Yeah, we're very happy with being the broad - for the return of our investments. Overall, I'm really happy that new and upsell is allowing to increase our market share. And hopefully where some of the ecommerce trends kind of normalize and return, that will be a further boost to overall growth. 
Rob Napoli : Thank you. And then new products, just a little more color on maybe, which new products you're seeing the most momentum in, in the tax rate for the new product the opportunity for products outside of the Chargeback Guarantee? 
Eido Gal : Sure. So we still feel that policy is our biggest opportunity right after Chargeback Guarantee. And consistent with what we shared in the previous quarter we're still on track to meet our annual target which has been 10% of new revenue bookings coming from this product. And it's going great. Conversations are strong. It’s driving a continuous sale cycle with merchants and the reception has been really good so far. 
Rob Napoli : Thank you I appreciate it. 
Operator: I show no further questions. At this time, I would now like to turn the call back to Eido for closing remarks. 
Eido Gal : Thank you everyone for joining. We look forward to continuing to update you on our progress in the future quarters. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. 
Agi Dotcheva : Good bye.